Operator: Ladies and gentlemen, thank you for standing by and welcome to the SS&C Technologies Q2 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now hand today's call over to Justine Stone, Head of Investor Relations. Please go ahead.
Justine Stone : Welcome everybody and thank you for joining us for our Q2 2024 Earnings Call. I’m Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer, Rahul Kanwar, President and Chief Operating Officer, and Brian Schell, our Chief Financial Officer. Before we get started, we need to review the Safe Harbor Statement. Please note the various remarks we make today about future expectations, plans, and prospects, including the financial outlook we provide constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factor section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, July 25th, 2024. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
William Stone : Thanks, Justine, and welcome, everyone. Our second quarter results are record adjusted revenue of $1,452.4 million, up 6.5% and $20 million ahead of our forecast. Our adjusted diluted earnings per share were $1.27, up 17.6% adjusted consolidated EBITDA was [$558.9 million] (ph) for the quarter, and our EBITDA margin was up 170 basis points, the 38.5%. Our second quarter adjusted organic revenue growth was 6.4%. The revenue acceleration was driven by strength in our alternatives, GIDS, wealth and investment technology and Intralinks businesses. The surprise upside came largely in our GID business, the outperformance driven by seasonality and some accelerated license revenue. Our recurring revenue growth for financial services was 7.7%, which includes all software enabled services and maintenance revenue. Second quarter cash from operations were $385 million up 16.8% from Q2 2023. Our cash flow conversion percentage for the quarter was over 120%. We paid down $25.2 million in debt in Q2 2024. Bring our net leverage ratio to 2.84 times, consolidated EBITDA. In Q2 2024, we bought back 3.7 million shares for $227 million at an average price of $62.17 per share, this is the highest share buyback in one quarter in SS&C's history. Last week, the Board Of Directors renewed a one year, $1 billion common stock repurchase program. We continue to believe stock repurchases are a good use of our capital. On the M&A front, valuations are still elevated, but we are seeing an increase in relevant targets coming to market. We will continue to look, but our returns need to be as attractive or greater than buying back our own stock. I'll now turn it over to Rahul to discuss the quarter in more detail.
Rahul Kanwar : Thanks, Bill. Our business had a good quarter with the strongest organic revenue growth since 2021. Our alternative fund administration business had strong growth across the board in private markets, hedge funds, and retail alternatives where we provide both fund administration and transfer agency services and support registered alternative and interval funds. SS&C is uniquely positioned to serve this growing area with the combination of our transfer agency and fund administration services. We have seen early success in the wealth and investment technology business unit collaborating on client relationship management and sales opportunities. Trust Suite, momentum continues, the sales pipeline is robust and we're being invited to participate in the largest RFPs in the market. DomaniRx's second release was put in production on July 1st and the platform can now process claims for all lines of business. We have processed over 100 million claims since going live in January and have migrated our first new client onto the platform. Domani's key strengths include enhanced functionality running on the SS&C private cloud, will [stop] (ph) with self-service capabilities and customized reporting. I will now turn the call over to Brian to discuss the financials.
Brian Schell : Thanks, Rahul. And good day, everyone. Our Q2 2024 GAAP results reflect revenues of $1.452 billion, net income of $190 million, and diluted earnings per share of $0.75. Our adjusted revenues were also $1.452 billion, an increase of 6.5% over Q2 2023. The increase of $89 million over prior year was primarily driven by incremental revenue contribution from the alternatives with GIDS and Intralinks businesses. Acquisitions contributed $4 million and foreign exchange had an unfavorable impact of $2 million. As a result, adjusted organic revenue growth on a constant currency basis was 6.4%. Our core expenses increased 3.3% or $29.2 million excluding acquisitions and on a constant currency basis. Adjusted Consolidated EBITDA attributable to SS&C was $559 million or 38.5% of adjusted revenue and increase of $57 million or 11.2% from Q2 2023. The 38.5% EBITDA margin reflects a year-over-year improvement of 170 basis points driven by the positive impact of both revenue growth and disciplined expense management. Net interest expense this quarter was $113 million, a decrease of $5 million from Q2 2023. Adjusted net income was $320 million, up 15.7%, and adjusted diluted EPS $1.27, an increase of 17.6%. The effective tax rate used for adjusted net income was 26%. Increased share repurchases drove the diluted share count down to $252.3 million from $253.3 million in Q1 2024. SS&C ended the second quarter with $462.7 million in cash and cash equivalents and $6.7 billion in gross debt. SS&C's net debt, as defined in our credit agreement, which excludes cash and cash equivalents of the $88.5 million held at DomaniRX was $6.3 billion. Our last 12 months consolidated EBITDA used for covenant complaints was $2.2 billion. Based on net debt of approximately $6.3 billion, our total leverage ratio was 2.84 times and our secured leverage ratio was 1.6 times. In May, we refinanced our Term B loan consisting of five tranches with a new single $3.9 billion Term B loan tranche as well as a $750 million senior note. The refinancing resulted in a $28 million non-cash loss on the extinguishment of debt and the capitalization of $35 million of new deferred financing fees. The refinancing activity resulted in extending our debt maturity by approximately 3.7 years and diversifying our funding sources, but still positioned to benefit from any reduction in short-term rates. As we look forward to the third quarter and the remainder of the year with respect to guidance, note that we will maintain our focus on client service and assume that retention rates will continue to be in the range of our most recent results. We will manage our expenses with a cost-discipline approach by controlling and aligning variable expenses to ensure efficiency, increasing productivity, improve our operating margins to leverage our scale, and effectively investing in the business through marketing, sales, and R&D to take advantage of future growth opportunities. Specifically, we have assumed foreign currency exchange rates will be at current levels, short-term interest rates to remain at current levels, a tax rate of approximately 26% on an adjusted basis, capital expenditures to be 4.1% to 4.5% of revenues, which is a slight reduction from prior guidance, and a stronger waiting to share repurchase versus debt reduction subject to changes to market conditions. For the third quarter of 2024, we expect revenue to be in the range of $1.42 billion to $1.46 billion and 5.3% organic revenue growth at the midpoint. Adjusted net income in the range of $304.6 million to $320.6 million. Interest expense excluding amortization of deferred financing costs and original issue discount in the range of $107 million to $109 million, diluted shares in the range of 251.6 million to 252.6 million shares, and adjusted diluted EPS in the range of $1.21 to $1.27. For the full year of 2024, we are raising revenue guidance by $12 million and expect revenue to be in the range of $5.706 billion to $5.866 billion and 4.9% organic revenue growth at the midpoint. Adjusted net income in the range of $1.246 billion to $1.326 billion, diluted shares in the range of 250.9 million to 253.9 million shares. Adjusted diluted EPS in the range of $4.98 to $5.22 and cash from operating activities to be in the range of $1.305 billion to $1.385 billion. Our updated 2024 guidance reflects our strong results in the first half of the year with a continued positive outlook for the remainder of the year. And now back to Bill.
William Stone : Thanks, Brian. We obviously have strong quarter on both the top and bottom-line. We continue to be bullish about our business and our updated guidance [has offset] (ph) 4.9% organic growth at the midpoint and $5.10 in adjusted diluted earnings per share. I'd also like to announce that on September 18th of 2024, we'll hold an Analyst Day at NASDAQ market site in New York City. Formal invites will go out in the coming weeks and please reach out to Justine if you have any questions. We also be hosting our SS&C deliver client conference in New Orleans, Louisiana on October 6 to 8. This premier event is designed for executives and decision makers across SS&C's solutions set and features hands-on learning, industry insights, and many networking opportunities. I'm pleased to announce this year's keynote speaker is my friend David Rubenstein, co-founder and co-chairman of the Carlyle Group, which SS&C was a portfolio company from 2005 until 2014. We look forward to hosting hundreds of our clients and prospects in October. I'd now like to turn it over to questions.
Operator: [Operator Instructions] Your first question is from the line of Dan Perlin with RBC Capital Markets.
Daniel Perlin: Thanks. Good evening. Great to see the organic trends just continuing to improve here. I just had a quick question on the guidance. It looks like at the midpoint it seems to suggest, if we use kind of the midpoint for third quarter and then take the full year number, that the fourth quarter's organic growth kind of steps down a little bit, maybe more meaningfully. I'm just trying to understand, like is this just tougher comps as we kind of look at the numbers or something structural that we need to be mindful of -- or is this just kind of overall conservatism since we're not -- we're a little bit away from maybe putting up the numbers on the fourth quarter. Thanks.
William Stone: Yeah, Dan, I would just say that the Q4 is really a comp issue. Q4 of '23 was particularly strong and again as you well know we are in the process of meeting and beating our numbers. So we are still focused hard on making sure we have a strong number, but a number that we expect to hit.
Daniel Perlin: Okay. No, that's great. And then just a quick follow-up. Your leverage is at 2.8 turns now. Obviously you just re-upped $1 billion buyback and you just did the biggest buyback in the company's history for the quarter. And you kind of mentioned a little bit, Bill about the M&A kind of environment in the pipeline. I'm just wondering what do you see out there? How is it stacking up in terms of overall capital allocation? I understand you got a hurdle rate for your buyback versus M&A. But it does sound like M&A is picking back up and even in kind of your -- I guess, is your Intralinks report that you recently put out it sounded like within North America, the deal flow was looking pretty good. So I would just love to get your thoughts on where you sit today given your balance sheet is pretty healthy.
William Stone: Yes. As you well know we've really built the company around organic revenue growth and acquisitions. We see a lot of stuff out there. We see things that are on the low end of ridiculously priced. So we are willing to look hard. We would like to deploy capital in acquisitions. We would like to further build out our portfolio of products and services. And in each of our business units are kind of beating the bushes for opportunities. So I wouldn't be surprised if we were able to close a couple of tuck-ins and maybe something a little more substantial. I don't see any $5 billion or $10 billion acquisitions on the near-term horizon, although SS&C will be in the running, if any of those things come on the market.
Daniel Perlin: Excellent. Thank you Will.
Operator: Your next question is from the line of Andrew Schmidt with Citi.
Andrew Schmidt: Hi, Will, Rahul, Brian, thanks for taking my questions. Maybe it's a higher-level question for me. Obviously, the last three quarters, we've seen you maintain at least mid-single digit organic growth. Maybe talk about the sustainability and visibility of consistently delivering that. And if anything, what's changed? I realize that we are a more stable level in terms of the GIDS performance. Health care is stable versus one years to two years ago, but if there is anything else deeper in the business that drives that stabilization that would be helpful. And I realize I might be jumping on the Analyst Day, but anything there would be helpful. Thanks a lot guys.
William Stone: Andrew, I’d just say in general that we have a strong focus on organic revenue growth. We have looked at a bunch of acquisitions, but the ones that we really like are pricing at 10 times revenue. So we don't like them that much at that price. So when you start focusing on organic revenue, you start looking on how you're pricing. We've done a pretty good job of getting a little more discipline there. And you also make sure that the pitches that we go out in order to cross-sell and up-sell, as well as new names are crisp and impacted. So I think we've done a good job there. And I think Rahul probably has a couple of anecdotes or additions that would also give you some clarity.
Rahul Kanwar: Yes. I think the thing that I would add to that is product development. We've spent a lot of energy over the last really several quarters, making sure that what we are selling into a particular type of customer will bring in all of SS&C to bear. And so that is starting to show up in larger deals and better win rates, and we expect that to continue.
Andrew Schmidt: Got it. Thank you Will and Rahul. Yes, certainly shining through in the product updates that you are putting through to the market. So we see that. I appreciate those comments. And then maybe just a question on the outlook. Just the raise and the EPS outlook relative to the second quarter result and that in conjunction with higher level of share repurchase. I'm wondering if there was some reinvestment that was baked in or if there's some that you're kind of saving for some potential outperformance in the back half, it just looks like the raise was a little bit lighter than the outperformance. So anything there would be helpful. Thank you.
William Stone: Well again as we said, our GIDS business was particularly strong, and we don't expect a repeat of the strength of that business in Q3 or Q4. We have some opportunities but often they're multi-quarter sales cycles. We have a good pipeline, but that certainly could be a little bit of a headwind to us. And then we also are -- we're very excited about our trust suite that we're bringing out into the marketplace. It is getting a lot of positive reaction. And I think we’re executing and hopefully, it will surprise you positively.
Daniel Perlin: Got it. Thank you Bill. And sorry, just one more housekeeping since you mentioned at the GIDS business, the accelerated license revenue? Like could you shed some light on that? Was that timing, just any details on that? And then I'll jump back in the queue. Thanks a lot for your responses here.
Rahul Kanwar: It is mostly timing. There were some deals that we had forecast that's coming in, in Q3 and Q4, and we were able to pull them into Q2.
Daniel Perlin: Perfect. Thank you Rahul.
Operator: Your next question is from the line of Peter Heckmann with D.A. Davidson.
Peter Heckmann: Hi, good afternoon. Thanks for taking my question. I guess how would you characterize the overall spending environment? And we hear you in terms of where certain areas are producing a little bit better organic growth. But I guess, what do you view in terms of like the next couple of years catalysts that could potentially cause you to look at switching vendors, upgrading? And what do you think are the demand drivers there? Is it regulatory? Is it technology? Or is it price?
William Stone: Well, I think it's all of those. I think price is probably the least important of the three. I also think as you see of these cyberattacks and the outages for large-scale businesses, they start looking hard at who their vendors are in and how much money are there vendors putting into their security walls and their expertise and the number of layers they have in order to kind of stop the bad guys. And similar to things like made off in others that caused a real fee change in and how people did their books, whether they did them in-house or they did them with an outside administrator. I think technology is going to be one of those things that, yes, you saved a few hundred thousand and maybe even a few million over three-year or four-year deal, and then you got burned for about 15 or 20. And they are going to start deciding that playing technology on the cheap is a risky business. So I think that's going to be a real driver. I also think how you deploy the newest technologies, whether that is deep learning, machine learning, RPA, AI, ML, all of those things, right? I think the key there is has to work, and it has to work better than what you had before. You can't go show them something that's really pretty and it's slow or it doesn't -- isn't as accurate. So there's a lot of things that go into deploying new technologies. It's not just, well, we use large language models. And we are really steeped in AI. And maybe, I think those kinds of things are real opportunities for us. And I think as long as we focus and deliver applications that show that, hey we are here for the long term. We're going to give you improvements every quarter, every 6 months, every year, and you're going to see that your business improves because you chose the right partner.
Peter Heckmann: Yes, that's helpful. And then just any comments just on wealth specifically mentioned it as one driver of organic growth. But I guess, how would you characterize there? Is that more on the adviser tech side or more on the [long-only] (ph) side?
William Stone: I think it's in both. You're going to have, obviously the wealth and investment technology is a very strong area. And just as you've seen on Envestnet getting sold or at least in the process of being sold. And all the number of mergers and private equity buying into different wealth technology companies, I don't see that stopping. There is however many trillions being transferred from generation to generation and the younger people getting this money are not going to wait for a monthly statement or a quarterly statement or along those lines, they're going to want instantaneous access to their money. And I think things like you see on the T+1 and other things where the regulators are understanding when you have things like Venmo and other instantaneous money movers, people don't want to wait 24 hours for trade to settle or the money to be available or anything else. So you're going to have to be nimble enough to handle the people that are recipients the current generations really large scale wealth accumulation.
Peter Heckmann: Okay, thank you. I appreciate it.
Operator: Your next question is from the line of Alexei Gogolev with JPMorgan.
Alexei Gogolev: Hi, Bill, [indiscernible] Gogolev here. Great to hear from you. Last time we met you flagged growing confidence that SS&C will be able to achieve high single-digit organic revenue growth in the mid-term. So sort of following up on some of the questions that my colleagues have asked, are you seeing some sort of time or pockets of opportunity that could drive further growth acceleration?
William Stone: I think we see that, Alex. I think the question is that you have to not just see them, you have to act on them and you have to get ink on paper. And I think the large-scale things that we think are happening are people to outsource and even for us to take various lift-out where we can give them tremendous expense savings, better technology and a happier client base, and we can earn a lot of money in processing that business. We think there's a number of those that are in the marketplace. We think we are well positioned. So I think those types of things and then things like what we're rolling out as new products and new services as they kick in, I think you'll see increasing organic revenue growth. I think the reduction in year-over-year revenue in health care went from 8.5% to 4.5% or 8.5% to 4.8%. I think Q3 will be better than that may be breakeven or even a little better on a growth basis. And then I think we'll start accelerating in Q4 and throughout '25 and '26. So I think there's a number of different catalysts that can drive mid to high single digits, but it's execution. We've got great strategies.
Alexei Gogolev: Understood, Bill. And just to build up on the answer that you just provided. You've always positioned having your own data centers and infrastructure is a strong competitive advantage. Could you discuss how your customers reacted to outages last week? And if you've seen any incremental demand on the back of that?
William Stone: Well, I think we've had many follow-up calls with customers of ours that in their stack, they had some of the companies that had real difficulty in our own tech stack, we have very little of the companies that have had problems. So knock on probably [fib marble] (ph) here. We are well served by our technology team that's very disciplined and also as many layers security around our data processing centers. We run our own private cloud. It doesn't mean we don't get attacked. Of course, we get attacked by everybody else. But we are not Amazon. We're not Azure. We're not a Target. And the number of people coming after us is a mere fraction of what we go after large-scale disruption of the US economy. So we are confident in what we're doing. We spend tons of money and we believe that we are getting value.
Alexei Gogolev : Understood. Thank you very much Bill.
Operator: [Operator Instructions] Your next question is from the line of Surinder Thind with Jefferies.
Surinder Thind: Thank you. Bill, can you maybe talk about the pipeline that DomaniRx given that you've now had a few successful clients on the platform, what you're seeing, maybe what the conversations are like and just time frame for any new announcements?
William Stone: Well, we have a good pipeline and we have a pipeline with very large health care insurance claims payers. And I think we have a better bread box. So we have a great opportunity if we can execute in a way that those large-scale organizations say, you can handle this. Not only can you handle it, DomaniRx has very little latency. It is processed up second, a number of our competitors are processing in multi-second. And when you are doing millions of claims, that's very unpopular. But we think we have some competitive advantage there. As Rahul said before, we have self-service capabilities. We have very strengthened reporting capabilities and a lot of good things for finance, so that they can really understand where they're spending money and on which drugs and which market. So we think we have great opportunities. There's vagaries in every market, there's vagaries here too. So we have to execute, but we put 1.5 million hours into Domani. And as I tell our prospects and clients, it works and that's a pretty big statement.
Surinder Thind: That's helpful. And just as clarify -- is it larger deals, longer sales cycle in the rest of your business? Or how should we think about that?
William Stone: I wouldn't necessarily say longer sales cycles, but most health care plans start [1] (ph). You give the opportunities on a January 1, '24. Damn, it's July '24. And now we get a big opportunity on January 1, '25. And for the biggest ones, you're really going to have to be planning starting now and hopefully taking them line on 1/1/26. But there are enormous type companies that can pay upwards to $100 million a year on some of these claims processing things that they do. And we just need to be ready. The system has to continue to get better and we have to continue to delight our customers.
Surinder Thind: Thank you. And then on Blue Prism, just any update there, what you are seeing externally? And then just as a follow-up on the earlier comments about obviously doing a lot of continued work in AI/ML and it takes a lot of time to prove those technologies. But just update on the internal efficiency initiatives there and if there is any change that you see coming not necessarily this year, but as you look out over the next 1, 2, 3 years that maybe you can squeeze a bit more from an efficiency perspective?
Rahul Kanwar: Yes. We are continuing to roll out Blue Prism within SS&C. In some ways, we are building momentum because as more people get trained up, we have more capacity to have additional processes, be subject to that robotic process automation and AI type enhancements. We are also -- we just released the next generation of Blue Prism, which actually as part of its workflow as GenAI capabilities, so you can use GenAI natural language type interface to design your workflows, which makes it easier for us to roll out internally but also improves our product differentiation from others in the marketplace. So we feel really good about Blue Prism and how it's helping us, and we certainly expect it to accelerate from here.
William Stone: And I would just add to that, that what we find when people start to embrace it, their jobs get better. And some people -- we have a lot of green eyeshades and a lot of warm bands around this SS&C. So often, you have to bring the horses to water multiple times, and it's best if it's really summing up. So they're thirsty. So I think those opportunities is where we have things where, wow, I wish I would have done this a year ago because it makes their job better, it makes the treasury parts of their job, sort of not drudgery anymore because they're not doing it. They have some digital work we're doing it. So I think we are sticking to the knitting. We constantly monitor how many digital workers by business unit. And I know they are very happy about all the calls that Rahul and I make to them.
Surinder Thind : Thank you Bill. That’s helpful.
Operator: Your next question is from the line of James Faucette with Morgan Stanley.
James Faucette: Thanks a lot. A couple of broad questions. I want to follow up on the Blue Prism question and I appreciate your comments there. Just wondering what you see as the competitive landscape right now? And I love to hear how you're thinking about that opportunity having evolved to [weight-in] (ph) specifically whether or not you think you maybe can be the beneficiary of some of the hiccups we've seen from some of the public RPA vendors?
William Stone: Yes. We think if we keep our hiccups at a very minimum, will be a big recipient because our business is profitable, sweatening to sustainable. It means we can invest. I know that a lot of these companies that you follow in and bunch of your colleagues follow. It is how much money, private equity money can we burn before we have to be profitable. And I think a little bit that fuse has kind of played its way out. So now you have to build sustainable businesses. And I think that's what we've done. We also have to accelerate our revenue growth. And I think we've added a new Chief Revenue Officer, we have some high expectations there. But it is all proof in the pudding. You can get up to bat, but someone got to hit the ball. And I think that's the thing we are driving that. And I think we are more than cautiously optimistic. But I wouldn't tell you that we are drunkenly optimistic either. So we are going to execute, and I think we should begin to see double-digit revenue growth in Blue Prism for the foreseeable future.
James Faucette: Got it. Silver forecasting is always appreciated. As far as the Genesis platform, I'd love to hear the early feedback from your customers on the product and specifically, what you're trying to do with the capability set across Advent, Eze, and GlobeOp. I guess I'm trying to get a sense for what portion of your customer base do you think this will be most applicable for? And how do you think that Genesis will impact that segment?
Rahul Kanwar: So when we combined Advent and then subsequently institutional and investment management, that combined business is now maybe a little over $1.5 billion in annual revenue and has a lot of the different products that are geared towards wealth asset managers, financial institutions, particularly on the software side. And it's only been a few months, but we find what we are able to do is start to take a look at product road maps for products like Genesis and Aloha and Singularity and others. And make sure that things that we think are worthwhile to build, we're putting the right amount of muscle kind of, and we're making sure that we've got a good launch plan and a good customer validation process. And that's starting to show up in some of the results. So early days, but it feels like we're on the right track.
James Faucette: Appreciate that.
Operator: Your next question is from the line of Kevin McVeigh of UBS.
Kevin McVeigh: Great. Thank you so much. And congratulations on really just terrific results. Maybe just for Bill. Bill, given the kind of technology efficiencies that Blue Prism are bringing to bear, is it changing the go-to-market strategy with your clients? I mean I know you've spoken a lot about bigger kind of lift and shift opportunities? Has it accelerated that process? And does the efficiencies at Blue Prism bring to bear afford you kind of a wider lens in terms of go-to-market strategy? Just given some of the potential returns as a result of the efficiencies. I wanted to start there because it feels like there's a step function change in the business from a revenue growth perspective that just is beyond kind of some of the segmentation. And I just wanted to maybe try to frame that a little bit.
William Stone: Well, I think, Kevin that was the intent when we bought Blue Prism was to buy something that was horizontal that would act as almost like the floor for all of our different applications and services to kind of hang off on or to improve with and be able to present a technological differentiator that we can train everybody on across the enterprise. Now the enterprise is pretty broad, and we've done 75 acquisitions. So there is a lot of teaching and training and implementing a Blue Prism both internally at SS&C. And then as we take people out it fits externally, they get a lot of confidence because we're using it, right? We are eating our own dog food. We're processing on Blue Prism across almost every one of our disciplines inside SS&C. And so that's the whole holly-grail of this thing. And I think that it is -- we think the train has left the station. But I think there was a hill to get the train up first, right? You got to get into those places and you had to really start to educate the IT departments of our clients. When traditionally, we've been functional experts talk to us about retrospective or prospective accounting rules or how to value a multistep bond or whatever it is, right? But now you got to go in and talk about large language models and how you're going to deploy machine learning or RPA and that's an education. And I think we're doing it and we're doing it pretty well. And we have a very talented tech team.
Kevin McVeigh: That makes a lot of sense. And then just does that afford bigger opportunity, Bill? Because obviously, you're talking to a wider audience. So it almost sounds like it's more transformational opportunities. So most of those clients scale and size, I guess just given the complexity of what you are taking.
William Stone: It does, but it also brings in every tech-focused consulting firm and horizontal consulting firm and tech firm, right? Now you run into all the -- what we used to call manpower shops out of India, whether that's Cognizant or Tata or Infosys or any of the other ones, unless you start bumping into Accenture and the ones here in the states. So it's a different kind of a competitive landscape. We really like that we bring expertise in what our clients are trying to do, so we can kind of help their IT people and try to explain to them. That's not how this really works. This is how it works. This is what really momentum trading means. This is what -- how traders and portfolio managers are looking at risk in their portfolios. And what is the value of real-time versus near real time and being able to go across what they're doing in technology and show them that you are going to spend $5 million doing it that way, if you spend $500,000, you would get the same result. But you would be a hero because you save the organization $4.5 million. And in some of these places have enormous budgets. A couple of hundred million dollars for firms that are a couple of hundred people or 300 people, 400 people. So there's a lot of opportunity in there, but there is a lot of competition.
Kevin McVeigh: That’s very helpful. Thank you.
Operator: At this time, there are no further questions. I will now hand today's call over to Bill Stone for any closing remarks.
William Stone: Thank you, Tamica, and thanks, everybody, for being on the call. We really appreciate it. We are working hard for you as we always have. We like to work hard for you and give you great results. So until next time, we'll be out there working on great results. Thanks again.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.